Operator: Good day, everyone. And welcome to American Software's Fourth Quarter and Fiscal Year 2013 Preliminary Results. [Operator Instructions] Please note, today's call is being recorded. And I will be standing by should you need any assistance. It is now my pleasure to turn the program over to Vincent Klinges, CFO of American Software. Please go ahead. 
Vincent Klinges: Good afternoon. To begin, I would like to remind you that this conference call may contain forward-looking statements, including statements regarding, among other things, our business strategy and growth strategy. Any such forward-looking statements speak only as of this date. These forward-looking statements are based largely on our expectations and are subject to a number of risks and uncertainties, some of which cannot be predicted or quantified and are beyond our control. Future developments and actual results could differ materially from those set forth in, contemplated by or underlying the forward-looking statements. 
 There are a number of factors that could cause actual results to differ materially from those anticipated by statements made on this call. Such factors include, but are not limited to, the changes and uncertainty in general economic conditions, the growth rate of the market for our products and services, the timely availability and market acceptance of these products and services, the effect of competitive products and pricing and other competitive pressures and the irregular and unpredictable pattern of revenues. In light of these risks and uncertainties, there can be no assurance that the forward-looking information will prove to be accurate. 
 At this time, I'd like to turn the call over to Mike Edenfield, CEO of American Software. 
J. Edenfield: Thanks, Vince. And good afternoon, everyone. Thank you for participating in this call. I have some comments on the fourth quarter and annual results. Vince will review the details on our financial results for the quarter and the fiscal year and then we'll take your questions. 
 American Software was profitable for the 49th consecutive quarter and the fourth quarter was the best quarter of the year from a license fee revenue and net income perspective. Fourth quarter revenues were $25.2 million, which is a decline of 10% year-over-year. Both the license and service fees declined 22% and 11%, respectively. 
 Maintenance revenues, which were recurring, grew 3% in the fourth quarter. Net income for the fourth quarter was $3.1 million. For the year, license fees declined 24%, but we increased services revenues 7%, and maintenance revenues, 5%. The company increased our investment in research and development by 12% over last year. And we had net income of $10.4 million for the year. We have 16 new customer sign license agreements in the fourth quarter and customers from 14 countries signed license agreements with American Software in the quarter. These countries include Australia, Belgium, Brazil, Canada, Colombia, Denmark, Italy, Japan, Mexico, Nicaragua, South Africa, Sweden, the United Kingdom and the United States. Some of the notable new and existing customers include 3M Australia, Ballet Jewels, Cytec Surface Specialties, Glen Raven, Haddon House Food Products, Maidenform, Jay Franco and Sons, Oceana Brands, Polaris Industries, Rocky Brands, RUKO, Unifirst Corporation, VF Services and Zimmer. 
 For fiscal 2013, we added 68 new customers. We continue to be encouraged by the number of new customers licensing our products. New customers are a source of future maintenance and implementation services revenue, as well as being excellent prospects for additional product sales. 
 So as we look at the first quarter of fiscal 2014, our pipeline is similar to the past few quarters. There is interest from our customer base, as well as new potential customers and we have some large deals in the pipeline. We have enough pipeline to be successful but we need to improve our quarterly rates. 
 I would now like to turn the call over to Vince for a detailed review of the financial results for the fourth quarter and fiscal '13 annual results. Vince? 
Vincent Klinges: Thanks, Mike. Comparing the fourth quarter of fiscal '13 to the same period last year, as Mike indicated, our total revenues decreased 10% to $25.2 million, compared to $27.9 million in the same quarter last year. License fees decreased 22% to $5.7 million, compared to $7.3 million for the same period last year. Services and other revenues decreased 11% to $11 million for the current quarter, compared to $12.3 million in the same period last year. Services revenues decreased 32% at our ERP unit, 10% at our IT staffing unit, and due to timing of project work, and by 2% at Logility. 
 As we indicated on our last earnings call, services revenue increased sequentially, and it did 15% in the fourth quarter compared to the third quarter of '13. And that was based on a pickup of activity in all 3 business units. 
 Our maintenance revenues increased 3% to $8.6 million compared to $8.4 million, primarily due to increased license fees in the prior-year quarters. 
 Taking a look at gross margins, it was 56% for the current quarter, and that's up from 55% in the same period last year. License fees, margins increased to 78% compared to 75% in the same period last year. Our services margins were 29% for both the current and prior-year quarter. Our maintenance margin was 78% for the current quarter and that compares to 75% in the same period last year, and that's primarily due to increase in maintenance revenues. 
 Looking at operating expenses, our gross R&D expenses were 12% of total revenues for the current quarter, and that compares to 11% in the prior-year period. As a percentage of revenue, sales and marketing expenses were 21% of revenues for the current quarter compared to 18% in the same period last year, and that's primarily due to increased headcount. G&A expenses were 12% for the total -- of total revenues for the current quarter and the same period last year. 
 So our operating income was $3.5 million for this quarter, and that compares to $4.6 million for the same quarter a year ago. Adjusted EBITDA, which excludes stock-based compensation, was $4.9 million this quarter compared to $6 million in the same period last year. GAAP net income was $3.1 million, or earnings per diluted share of $0.11, and that compares to net income of $3.5 million or $0.13 earnings per diluted share in the same period last year. Adjusted net income was $3.4 million or adjusted earnings per diluted share of $0.12 for the fourth quarter, and that compares to net income of $3.8 million or adjusted earnings per diluted share of $0.14 for the same period last year. And these adjusted numbers exclude amortization of intangibles, expenses related to acquisitions and stock-based compensation expense. 
 International revenues this quarter were approximately 14% of total revenues and that compares to 15% in the same period last year. 
 Looking at the full year of fiscal '13, total revenues for the year decreased 2% to $100.5 million, and that compares to $102.6 million last year or the prior year. License fees for the year came in at $21.1 million, and that compares to $27.8 million in the same period last year. Services revenues increased 7% to $45.3 million, and that compares to $42.4 million. Maintenance revenues also increased 5% to $34 million, and that compares to $32.4 million last year. 
 Looking at cost, our overall gross margin was 55% for this year and the same period last year. License fee margins decreased to 72% compared to 74% last year due to lower license fees. Our services margins were 30% compared to 27% for the same period last year and that was due to increased services revenues and improved utilization and project billing rates. Our maintenance margin was 77% for both the current year and prior year. 
 Operating expenses, gross R&D expenses were 12% of total revenues for the year, that compares to 11% for the same period last year. As a percentage of total revenues, sales and marketing expenses were 20% for the current year compared to 18% for the same period last year, and that's primarily due to increased headcount and marketing-related expenditures. G&A expenses were 12% of total revenues compared to 13% same period of last year. So our operating income was $13.8 million compared to operating income of $16.2 million last year. Adjusted EBITDA for the year was $19.4 million, compared to $21.8 million same period last year. Our GAAP net income was $10.4 million or $0.38 per share, and that compares to $11.3 million or $0.42 per share last year. Adjusted net income was $11.3 million or earnings per diluted share of $0.42 compared to net income of $12.5 million or earnings per share of 46% for the same period last year. International revenues year-to-date were approximately 14% of total revenues and that compares to 16% in the same period last year. 
 Looking at the balance sheet, our cash and long-term investments were $66.4 million at the end of April 30, 2013 and no debt. During the fiscal '13, the company paid approximately $15.5 million in dividends and repurchased approximately 96,000 shares of its common stock for an average cost of $7.89 per share under the stock authorization program. Under that program, we have a remaining balance of 1.1 million shares available to buy back shares. 
 Other aspects of the balance sheet, our accounts receivable build was $13.1 million, and unbilled was $3.7 million, for a total of $16.9 million accounts receivable. Our deferred revenues were $21.3 million, and our shareholder equity was $83.2 million, our current ratio increased to $2.8 million as of April 30, 2013, compared to $2.6 million in the same period last year. And our days sales outstanding as of the end of April 30, 2013, was approximately 62 days versus 64 days in the same period last year. 
 At this time, I'd like to turn the call over to questions. 
Operator: [Operator Instructions] We'll go first to Kevin Liu with B. Riley. 
Kevin Liu: The first question I had was just in the fourth quarter, did you guys close any 7-figure deals? And also, what does that pipeline of inventory optimization deals look like as you head into fiscal '14? 
J. Edenfield: We did not close any 7-figure deals this past quarter, Kevin. And we do have some exciting opportunities with the I/O product in the pipeline. 
Kevin Liu: Got it. And just wanted to clarify some of the comments you made regarding the pipeline, you said it was similar to levels as in prior quarters. As we go into '14 here, I mean, how much -- first, is that pipeline sufficient to get back to some of the license levels we've seen in the prior year, when you guys were showing extremely strong growth. And then second, can you talk a little bit about the closing trends in Q4, most specifically, did they improve from -- at least from Q3 levels here? 
J. Edenfield: We had pretty good closing rate in Q4, and we had a lot of midsized deals and we closed a good bit of them. But we didn't have that 1 or 2 bigger deals to really blow the number out. So going into this year, we have more big deals than we had, at least it appears we do. And so that can make a big difference. But those take -- tend to take longer and are less certain, so that's why I was a little cautious in saying looks a lot like last year. 
Kevin Liu: Got it. And I know you recently introduced the SaaS version kind of for the lower end of the market. I was still wondering if you've built in any sort of expectations into the numbers for '14? 
J. Edenfield: No. We didn't -- we don't have an extra revenue plan for SaaS, because that will have to be spread anyway, even if we do sign some deals. 
Kevin Liu: And just one last one for me. In terms of the headcount on the sales side, I'm wondering what your plans are as we make our way through this coming year, which you either looked at or maintain or either, is there a potential that you might take out some heads if license revenues don't get back up to the levels we've seen in prior periods? 
J. Edenfield: Our plan is to maintain, but if we have attrition, we would think hard about, we will evaluate the situation and see whether we wanted to replace that person. 
Operator: [Operator Instructions] We'll go next to Brian Murphy with Sidoti & Company. 
Brian Murphy: Mike, I'm sorry, did you give us the sales headcount at the end of the quarter? 
J. Edenfield: For Voyager, it's around 16, 17 right now. And then, of course, we have dozens of ours all over the world. And new generation has about 3 or 4. 
Brian Murphy: Okay. And I think you ended last year with 18 sales reps, were those just Logility sales reps? Or did they include the NGC guys? 
J. Edenfield: No, that didn't include -- I think, I spoke specifically to Logility last time. 
Brian Murphy: Okay. And what was the sales force attrition like in fiscal '13? 
J. Edenfield: Very low. We had 1 leave, and then we promoted 1 to manager and the manager retired. 
Brian Murphy: Okay. And so I mean, it sounds like most of these guys have been on board now for at least a year. 
J. Edenfield: Yes, yes, they're ready to go, they're ready to go, it shouldn't be an issue. 
Brian Murphy: Okay. And Mike, if we just step back, can you just give us some color on sort of what you think happened here in fiscal 2013 in terms of the pipeline and sales force productivity because you came out of fiscal 2012 and license revenue was up 45%. And I think, this time last year, you were pretty bullish about the pipeline. I think you mentioned that the Voyager pipeline was double where it was going into fiscal 2012, and that bullishness gave you the confidence to ramp up the sales force as aggressively as I've ever seen you guys do it. So can you tell us sort of are those -- are a lot of the same deals still in the pipeline? Or have you gone back and scrub that pipeline, maybe what happened with the pipeline management or sort of what changed in fiscal 2013 here, was it win rates, close rates? Can you just give us a sort of broad recap of what happened in terms of license revenues here? 
J. Edenfield: Well, you're correct, we did talk about, this time last year, how much our pipeline increased. But for whatever reason, the demand didn't follow it and I think it's just been people have just been more cautious. In '12, people were pulling the triggers or doing big projects and just dissolved in the first, second, third and fourth quarter. And we still got some good customers, but it just wasn't the -- as good of a demand environment as we expected. And also, I think the economy was a little slower. And really, DMI probably has a bigger drop and they are more -- since we've owned them, we noticed they're more sensitive to dips in the economy. So they hurt us a good bit. If you look at the drop, it's more than 50% of the license fee drop was probably due to DMI. 
Brian Murphy: Okay. And how many VARs do you have now? 
J. Edenfield: I don't know, we probably have close to 50 right now. 
Vincent Klinges: 56. 
J. Edenfield: 56, yes. 
Brian Murphy: Okay. I mean, that's up over last year. 
Vincent Klinges: Yes, it's up. And some of these deals -- I don't know if you noticed, I mentioned Brazil, that's new, we haven't sold a line in Brazil before. Colombia, that's the second deal we've got in Colombia, I think, 2 quarters in a row. Japan, we've gotten 5 or 6 deals from Japan through the channel. Mexico, Nicaragua, that's a new country for us. So that's working. Those Latin American deals tend to not be real big. But if you sell on every country, every quarter, 1 or 2 deals, then it's going to start adding up. And so I like what we've done in the channel. And another thing we've talked about last time is we put a layer of sales manager on top of the channel, too, where we took people who -- one used to be the Vice President of sales for Manugistics, which is now part of JDA. Very good supply chain sales manager. And he's running the U.S. and manage [indiscernible] more. So we put in, I think, the structure. We need a good pipeline and a good demand environment. And I think we can start going with 12 again. 
Brian Murphy: Okay. And I know you mentioned that you didn't have any 7-figure deals in the quarter. Did you have any I/O deals? 
Vincent Klinges: I think we had an I/O deal. But we have the 2 biggest opportunities we have around this quarter. 
Brian Murphy: Okay. And again, can you give us a sense for what stalled in the adoption there? Because fiscal 2012, you seem to be closing multiple I/O deals every quarter. And it would seem to me that the hard part would be getting those initial customers on that product. And it seems like you landed some very large, sophisticated customers in fiscal 2012. And I mean I don't know how many, kind of 10 or 12 deals, and then it just seemed to completely dry up here in fiscal 2013, was it something involved in the implementation? Is there something that's changed with the value proposition? Is there more competition? What do you think's going on? 
Vincent Klinges: I don't know. It wasn't anything to do with our implementations. As a matter of fact, the largest one we implemented is a fantastic reference. I mean, they put our entire team out that did the implementation for this sort of celebration, dinner on their nickel. I just don't think a lot was going on for some reason. And I have -- but it showed sign of picking up. 
Brian Murphy: Okay. And I know sort of for a software vendor of your size, you probably need a decent economy and demand environment to be closing 7-figure deals. And I think the demand environment in the software space has been fairly apocalyptic over the past couple of quarters. Is that the way to think about it, I mean, should we see some of these deals start to come through do you think, when we start to get a better demand environment maybe in the back half of this calendar year? 
J. Edenfield: I would hope so. If we have a good demand environment, I mean, our products are very competitive, I mean, we're selling them and leading all the players that are out there. And it's not competition that's hurting us, it's more moving deals to the pipeline. 
Brian Murphy: Has there been any change one way or the other post the acquisition of SmartOps? 
J. Edenfield: We never see a part of that, and it's really -- we don't see SAP in standalone I/O deals. There's [indiscernible] with that suite. 
Operator: [Operator Instructions] It appears we have no further questions at this time. Gentlemen, I'll turn it back to you for any closing remark. 
J. Edenfield: Thank you very much for participating on the call and all your support of American Software. And we look forward for to the next call. Thank you. 
Operator: This does concludes today's program. We appreciate your participation. You may disconnect at anytime. And have a great day.